Operator: Welcome to the AerCap Holdings’ 2013 Fourth Quarter and Full Year Results Conference Call. At this time, all participants are in a listen-only mode. This call is being webcast and an audio version of the call will be available on the company’s website. The call is also being recorded for replay purposes. I now hand the call to Peter Wortel, Head of Investor Relations. Please go ahead.
Peter Wortel: Thank you very much. Good day everyone and welcome to the 2013 fourth quarter and full year results conference call. With me today in New York are Aengus Kelly, AerCap’s CEO and Keith Helming, AerCap’s CFO. Before we begin today’s call, I would like to mention that in addition to this earnings call AerCap will also host a group presentation for Analyst and Investors today at the New York Palace Hotel in The Holmes Room. Presentation will start at 11:30 am and doors will open at 11:00 AM. The presentation will not be webcasted. Now let me first read the disclaimer language, before I hand over to Aengus Kelly. I want to remind you that some statements made during this conference call that are not historical facts may be forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. In addition, this conference call contains time-sensitive information that reflects management’s best judgment only as of the date of the last call. AerCap does not undertake any ongoing obligation other than that imposed by law to publicly update or revise any forward-looking statements to reflect future events, information or circumstances that arise after this call. Further information concerning issues that could materially affect performance related to forward-looking statements can be found in AerCap’s earnings release dated February 20, 2014. A copy of the earnings release and conference call presentation are available on our website at aercap.com. This call is open to the public and is being webcast simultaneously at aercap.com and will be archived for replay. I’ll now turn the call over to Aengus Kelly.
Aengus Kelly: Thank you, Peter. Good morning to everyone in the U.S. and good afternoon to those of you in the Middle East and Europe. Thank you for joining us today for our fourth quarter and full year results call. 2013 was a milestone year for AerCap. We generated record earnings, executed the largest sale leaseback ever done in our industry, when we acquired the 25 aircraft on long term lease to LATAM, and of course we entered into the transformative ILFC transaction. Firstly on the financial results, we are very pleased to report record after tax earnings for the full year 2013 of almost $300 million. This result was driven by rigorous adherence to the four principles upon which AerCap is run: Firstly, very active management of receivables, our receivables balance is at an all time low of $5 million; secondly, we continually manage the aircraft portfolio, the average age of our fleet is now one of the youngest in the industry at just over five years; thirdly, at all times we ensure that we have a long term stable liability structure, the average term of our debt is almost eight years; and fourthly, we run a hedged book, we hedge our exposure to interest rates through a combination of interest rate caps, fixed rate debt and swaps. Turning to the ILFC transaction, as you all know, we entered into a definitive agreement with AIG on December 16, 2013 under which AerCap will acquire 100% of the common stock of ILFC. I know you want to hear about this transaction which is transformational for both AerCap and our industry. The latest update on the transaction is that on February 13, we held our Extraordinary General Meeting in which we received the required shareholder approval for the transaction. We have also received regulatory anti-trust approvals from Colombia, Germany, the Ukraine, Ireland, Mexico, South Africa, Turkey and the United States. We expect to close the transaction in the second quarter. In the mean time, a great deal of work is being done to prepare for the operational integration. Dedicated integration teams have been set up. These teams are made up of both ILFC and AerCap staff and are on the ground in Los Angeles. Our Chief Operating Officer is leading the process and has moved to LA. [Bain Consulting] is also permanently on the ground in LA overseeing the integration process. Separately, discussions are ongoing to optimize the funding structure of the company post closing. These discussions are focused on the acquisition funding and the unsecured revolving credit facilities that both companies currently have in place. The reaction of our key business partners, airlines, financiers, and manufacturers has been extremely positive to the ILFC transaction. Now, looking back at AerCap’s 2013 performance and the current state of the aircraft leasing industry, all of AerCap’s committed future acquisitions are placed on long-term leases with an average lease term of 11.8 years. And the average remaining lease term of our current portfolio is 6.6 years. These long-term leases will drive long-term stable cash flows and profits for the benefit of our shareholders. Our utilization rate is running at 99.5%, and we have only 2 aircraft that are owned which are on placed in the next 12 months. This is a minimal task for a platform with AerCap’s capabilities that currently has 338 aircraft out on lease. Also as I referenced, our receivables are running at an all time low. Given this position of strength, AerCap is well positioned to execute the ILFC transaction. On the industry, we continue to see improving lease rates and demand. During 2013, Europe showed the greatest level of growth with the largest portion of aircraft subject to releasing going into the European market. The North American market continues to be very robust, but we are of course very vigilant and carefully monitor those lessees who are most exposed to local currency movements in emerging markets. Looking forward to the combined company, almost 90% by value of the portfolio will be composed of A320, A330, Boeing 737, and Boeing 777 aircraft. Importantly, we have what we believe is the most attractive order book in the industry in terms of delivery slots, pricing, and aircraft types being Airbus A350s, Boeing 787s, Airbus 8320 NEOs and Embraer E-2 jets which are the most in demand new technology aircraft. Secondly, our disciplined and active portfolio management saw us close the sale of 28 aircraft in 2013 from our owned and managed portfolio, while realizing a net gain of $10 million in the fourth quarter and $42 million for the full year on our owned assets. AerCap standalone has aircraft purchase commitments for $3.5 billion, relating to 44 aircraft. As I mentioned, all of these aircrafts are already placed on long-term leases with an average term of almost 12 years. The combination of the ILFC order book and our future purchase commitments will provide AerCap’s shareholders with stable, long-term, high quality profits and cash flows. And as we’ve said before, we believe there is embedded value in the ILFC order book in relation to both pricing and delivery dates. Thirdly, AerCap is extremely well financed and has industry leading access to all funding markets. During 2013, we secured $5.9 billion of funding from various markets and capital providers around the globe. Of course though, as I’ve always said in this business, the management must be very disciplined when it comes to spending our shareholders’ money. Before we commit our shareholders capital, we must be convinced that the risk reward trade-off is imbalanced. The potential for misallocation of capital is always at the forefront of our minds. Misallocation of capital can relate to both knowing when to purchase aircraft as well as when to dispose of aircraft and then reinvest the proceeds or de-lever the balance sheet. Our track record speaks for itself in this regard, be it the acquisition of ILFC or the LATAM, an American Airlines deal, as well as our aircraft disposition strategy that has enabled us to optimize our portfolio, rapidly delever our balance sheet and buyback 25% of our outstanding shares at $12 a share. And as it close, I would like to come back to the ILFC deal, which will see AerCap becoming the leading global franchise in the industry. With pro forma run rate annual earnings per share in excess of $4 and net profit of approximately $1 billion. Once the deal is approved, we will have a robust liquidity position on closing of approximately $5 billion and we expect to generate over $3 billion of operating cash flows per annum, resulting in overall liquidity of approximately $8 billion. This level of liquidity will comfortably cover our annual CapEx sort of $3 billion per annum. On that note, I will hand the call over to Keith before we open up to the Q&A.
Keith Helming: Thanks Gus. Good morning everyone. I’ll start on page four of the presentation. Our reported net income for fourth quarter 2013 was $65.6 million and our adjusted net income, which excludes the various items listed, was $74.9 million, which is an increase of 11% over the fourth quarter of 2012. For the full year of 2013, reported net income was $292.4 million and adjusted net income was $299.9 million, a 16% increase over the full year 2012. On page 5, reported earnings per share were $0.58 in fourth quarter 2013, adjusted earnings per share were $0.66 during the same period. For the full year, reported earnings per share were $2.58 and adjusted earnings per share were $2.64, which is an increase of 35% over the full year 2012. The average shares outstanding in the fourth quarter were 113.6 million, which is approximately 6 million shares lower than the same period in 2012 as a result of share repurchases completed in 2012. Page 6, total revenue in fourth quarter 2013 was $278 million. For the full year, total revenue was $1.05 billion, an increase of 8% over the prior year. Increase in total revenue was driven primarily by a higher gain on the sale of assets and the small increase in other revenue. Page 7, net interest margin or net spread was $176 million in fourth quarter. The annualized margin as a percent of average lease assets was 8.7%. For the full year 2013, net interest margin was $664 million. A small decrease in net interest margin year-over-year was driven primarily by the sale of the ALS portfolio in the fourth quarter of 2012, partially offset by purchases of new aircraft. Page 8, the impact from sales in fourth quarter 2013 was a pre-tax gain of $9.6 million and was $41.9 million for the full year of 2013. During 2013 from our own portfolio, we sold three A330s, nine 737-800s, one 737-400 and one MD11 aircraft. The average age of our aircraft portfolio is 5.4 years. On page 9, leasing expenses were $17.7 million for fourth quarter 2013. For the full year, leasing expenses were $15.5 million, down from $41.2 million for the full year 2012. A decrease in leasing expenses was driven primarily from the lower impact from defaults and restructuring. SG&A in fourth quarter 2013 excluding transaction-related expenses was $21.9 million and was $89.1 million for the full year. In 2013 we also incurred $11 million of cost relating to the ILFC transaction. Also in fourth quarter 2013, we incurred an impairment charge of $14.3 million, $9.7 million of this charge related to one 747 freighter aircraft, which was triggered by the receipt of $6.8 million end of lease maintenance payment, which was recorded in revenue. In addition $4.6 million of the charge related to two older A319 aircraft. Our tax rate for the full year 2013 was 8.4%. Page 10, AerCap’s unrestricted cash balance at the end of the fourth quarter was $296 million and our total cash balance including restricted cash was $563 million. Operating cash flows were $673 million for the full year of 2013. Page 11, at the end of fourth quarter 2013 AerCap’s debt balance was $6.2 million and our debt to equity ratio was 2.6:1. Our book equity is $2.4 billion and the average cost of our debt for the full year 2013 was 3.9%. Those are the summary financial highlights for the fourth quarter and for the full year of 2013. And with that I would like to now turn it open to Q&A.
Peter Wortel: Operator, can you start the Q&A?
Operator: Certainly. (Operator Instructions) We’ll now take our first question today from John Godyn from Morgan Stanley. Please go ahead.
John Godyn - Morgan Stanley: Hey guys, thank you for taking my question. Gus, I wanted to ask a couple of questions on your view broadly on the cycle here. We’ve now had a few years of I guess relatively robust kind of aerospace trend broadly demand for aircraft. It seems like everything that we’re hearing from you and other resources that trends are only improving on the margin, credit risk is still very good. As you look out at all of the data that you track, what you hear from customers is that true? And at what point do you start to worry that perhaps the cycle might be peaking and what gives you confidence that it’s continuing from here?
Aengus Kelly: Well, you are right, 2010 was better than 2009, 2011 was better than 2010 and so on. And we expect 2014 to be better than 2013. The principle metric I look at, when I look at that is airline profitability. We are assuming the IATA forecasts are accurate for 2014 just let’s say they are in the black, they are assuming very high levels of profit relatively for 2014. We will be in a period where we’ve witnessed four to five years of uninterrupted global airline industry profitability. So that is a very positive sign, of course it’s coming off the base of what happened in 2008, 2009 when the fuel hit a $148 a barrel and when we had the financial crisis. So I think the fact that we have seen steadily improving trends must be borne in mind that we came off an exceptionally low base. And it hasn’t been that we have seen growth rate or are projecting any growth rate in traffic that are at the high single-digits or anywhere near to it. It’s stable numbers in the 4% to 5% level which are in line with historical averages. So as we look forward, we continue to see 2014 to look reasonably good and then 2015 we’ll see what happens when we get there. But at the moment, the outlook is continuing to improve. Now I will say that to participate in that you do need to have what the customers want and that’s focused of course as we said many times on the core airplanes that are in production be it the 737, 320 to 330 to 777 and then overtime that will migrate into the 78s and 350s to NEOs and the MAXs. If you’ve got higher concentration in other aircraft types then you may not participate to the same extent and also the freight market is in a much tougher spot.
John Godyn - Morgan Stanley: That’s very helpful. And if I could just follow-up on the 737 and A320 comments, Gus, if I remember correctly, last quarter you sort of made the comment that if you had more narrow bodies available you could certainly lease them out that was the sort of strength in the spot market demand. Is that still the case right now? Do you feel that way?
Aengus Kelly: I do, John. If we have them we could move them. We only have two airplanes left to place of our own book for the next 12 months to the end of the year, that’s two A319 and they will probably be gone in the coming days. There is a couple of airlines looking at those airplanes. So if I go back to say 2010 and ‘11, you probably would have had a bigger inventory a vast is coming at you and you wouldn’t have had several, 2 or 3 airlines looking at those aircraft types. And I am specifically speaking the 319 and that was the one that was the hardest hit and on the last quarter end.
John Godyn - Morgan Stanley: That’s very helpful. And just last question. Boeing has been talking about increasing production rates they’ve announced the 47 per month increase. There is talk out there about a number north of 50, I’m just curious about what you think about those sort of numbers as you think about the health of the cycle from here?
Aengus Kelly: What the OEMs say in terms of projecting production may well and often has different materials, materially from what’s actually delivered. The OEM, of course their job is to put as many airplanes into the market that the market will bear and kind of course lead to periods where there is an oversupply in the market. But that being said, you only took the step back into very high level of the aircraft market and say there are only two suppliers of aircraft, two major suppliers of aircraft in the world. And they have always in the end active rationally and what I mean by that is they have never cannibalized their customer base, by saying to an airline at an order say 20 airplanes for delivery in 2014 and 20 in 2015. The airline comes in and says look we can only take seven or eight, Boeing and Airbus will both go back and say, okay well we’ll give you some reduction, but the pricing goes up, your escalation cap goes away et cetera. But they will never force the airline into bankruptcy and that has happened time and again which is very different from a lot of other industries and I often reference shipping is being the comparison where you have dozens of manufacturers, who just need to cover variable cost. And so that’s there only benchmark that put capacity into the market. Whereas Boeing and Airbus being that you duopoly have acted very rationally and have never flooded the market with supply. So I look to their track record, how they have behaved and what they’ve actually delivered versus what they promise to do.
John Godyn - Morgan Stanley: Thanks a lot. That is really helpful.
Peter Wortel: You are very welcome.
Operator: And I’ll take our next question from Michael Linenberg from Deutsche Bank.
Michael Linenberg - Deutsche Bank: Yes, hey. Guys you went through the different jurisdictions that you received regulatory approval, it was a bit of a less in the U.S. was mentioned. Do you need approval from the EU or China like what are some of the other large jurisdictions that you need approval on this transaction?
Aengus Kelly: We do not need, firstly on Europe. We don’t need approval at the federal level in Europe to be at the state level. And we already have a bunches I think Germany being the biggest one. We have the U.S. And the main countries that are out there still that are coming in are China and Russia. But we would expect them all of those to come in before the end of second quarter.
Michael Linenberg - Deutsche Bank: Okay, great. And then just another question. You know that you that you answered John’s question and I think we all see that things are starting to perk up and things do feel better that said as things improve, you typically tend to start attracting other players. And I just, we are starting to read more and more about other participants getting involved in this space whether it’s operating less source from Asia or other financial institutions. And you are starting to now even read some commentary that would suggest that there are lot more players coming in that may put some pressure on margins. And so you know the concern or maybe I am a little early here, but is that a potential concern that as more and more people start to run after some of these deals that all the sudden term start to become maybe less attractive. Are you seeing any of that at this point, is that a potential concern as we look out over the next year or so as new entrance into the space?
Aengus Kelly: Well let me speak about the new entrance and what we’ve seen in previous [go rounds] and what we are seeing now. In the aircraft leasing industry there is about eight or nine global platforms, that’s it. And some of the names have changed over the last 10, 15 odd years on the doors, but it’s the same platforms effectively. There has been very little if any that can actually break into that top tier of aircraft leasing platforms. Many financial institutions and funds are attracted to the sector because they see that the net interest margin in this business after credit costs in AerCap’s case is running at 870 basis points. That is a very large multiple of what most financial institutions earn at their net interest margin level. So they are very interested in it. That being said what we always see is that they see it a non-core business that yes produce an attractive margin for them but there is a limit to how big they actually go into it and it has never changed. We have seen many people come in and buy 1 billion, 2 billion, 3 billion, 4 billion of assets at the top-end 4 billion to be honest. But then they stop and particularly in today’s regulatory environment, I would be very surprised if we would see that group of 8, 9 global (inaudible) increased by more than one or two over the next four or five. The industry is growing a lot so there is certainly room for us, but we see plenty of people come in and because they like the look of the industry, the margins they generate but they generally then because of their own internal constraints be it at the financial institutions regulated in Europe and the U.S. or other areas that they have a campus to have big deal get into the industry. And so, obviously we have of course sold an old plot of airplanes and new entrance too. And so obviously a source to dispose of aircraft for us too.
Michael Linenberg - Deutsche Bank: Okay, great. And then just one last one, when we think about historically as a company you’ve been extremely shareholder friendly, you talked about buying back 25% of your stock at $12. As we look out going forward and assuming that merger has closed. Should we anticipate those types of initiatives or will they be on hold for several years as you focus on digesting the acquisition and really paying down debt which frankly investors should be happy about as well. I mean maybe not as boosting to the share price as maybe a share buyback but nonetheless still something that people should embrace. I mean what are your thoughts on that?
Aengus Kelly: Let me start and then hand it over to Keith. This was the first company that was ever got the investment grade rating on a standalone basis and our intention is to go back there. We believe that that is in the interests of all our shareholders and capital providers. So, that’s the number one focus Mike. So, the company will be focused on delevering the balance sheet and on the portfolio. But the reason I mentioned that specific item of why I’m having repurchase 25% of our shares at $12, so that people understand how we view spending our shareholders’ money. When we spend our shareholders’ money, it has to be in their best interest. We’re not here just to buy assets for the sake and make announcements at air shows. We’re here to maximize the value of this company for our shareholder. As we look forward right now surplus and cash flow will be directed more towards delevering the balance sheet. Keith maybe you would want to comment on that as well.
Keith Helming: Yes. I mean with the recent increase in the share price obviously the equity balance day one for the combined company is going to be greater than what we had originally discussed in the previous announcement. So we will be delevering much quicker, certainly we’ll start from a lower position and we believe in next couple of years we’ll be able to delever down to the level that we once again ran in the past. So we’re still very focused on that but we think we can get to the plans that we want very quickly.
Michael Linenberg - Deutsche Bank: Perfect. Thank you.
Operator: And I’ll take the next question from Arren Cyganovich from Evercore.
Arren Cyganovich - Evercore: Thanks. I was just curious as to whether you would add any update from the reading agencies as to what their views are on your investment grade rating and if it really matters as much as it appears with the ILFC bonds have actually improved in yields since you’ve announced the deal?
Keith Helming: We haven’t received any new update from them, just before closing probably sometime in April or we’ll go visit them again give them update on the integration process. Obviously as I just mentioned before the share price is higher so the day one equity balance will be higher. That will be a positive so I think from their view point as well. But everything is effectively still on track as to our discussion with them previously other than again the increase in the share price and the higher equity balance.
Arren Cyganovich - Evercore: Okay. And the transaction expenses that you have booked for this year. How much are you expecting in 2014? And is there any kind of progression over the next few quarters?
Keith Helming: We’ll provide more on that sort of guidance later on, I mean the transaction related expenses will be in relation to the bridge costs and various integration type costs which we’re working through now.
Arren Cyganovich - Evercore: Okay. And then just on the quarter, it looks you had some elevated maintenance revenue, and I saw 747 freighter and a couple of A319s that were impaired, was that related to those impairments?
Keith Helming: That’s correct. Again with this 747 freighter, the reason that we have the impairment is because we received an end of lease payment on that particular aircraft and that effectively triggered the impairment. So I mean it wasn’t exactly offsetting but they were pretty comparable if you will. So that’s one reason why maintenance was a little bit higher than normal and that’s why of course we had that particular impairment.
Arren Cyganovich - Evercore: And that wasn’t a default, just end of lease?
Keith Helming: That’s correct.
Arren Cyganovich - Evercore: And what about the A319s?
Keith Helming: A319s are two 15 year aircraft that we just decided and in fact we reevaluated the residual position and brought that down a little bit, which triggered the impairment.
Arren Cyganovich - Evercore: Okay. Thank you.
Operator: I’ll take the next question from Scott Valentin from FBR Capital Markets. Please go ahead.
Scott Valentin - FBR Capital Markets: Good morning. Thanks for taking my question. Just, Gus, you talked about the receivables being all time low, indicating strong credit, just wondering a lot of volatility in the emerging markets Turkey, China slowing down and just talk that the environment still is very strong, just wondering how you kind of reconcile the two, is it still too early to tell us what’s going to happen and there is strength there, I just wondering how you think about what you are seeing in some of the growth markets?
Aengus Kelly: Of course what’s been in the headlines recently is the volatility of the currencies in those markets. And so, the major carriers in those airlines generally have some -- have a material level of hedging because a lot of their revenue base is denominated in euros or in dollars or Australian dollars. It’s more the airlines that are purely focused on local currency and don’t have a revenue base that beyond the local currency that would be the most impacted by movements in the currency. But overall, we haven’t seen anything yet really that is material from any of these guys, no one, there isn’t Russia people coming, looking for any restructurings or anything like that at all. So, so far they have been able to deal with it, particularly the bigger guys who have anyway the foreign currency earnings for them, they are not so much impacted at all really; it’s a smaller guys who might have some issues, but we haven’t seen that yet.
Scott Valentin - FBR Capital Markets: Okay. And just returning to the kind of return of capital question; in the past between dividend and buyback, you preferred to buyback stocks that made sense, it’s not kind of [hosed] in the capital. Just wondering going forward as a larger company, does it, and I assume more stable given the size of the company, does the dividend make more sense than it has in the past?
Aengus Kelly: Well, the focus for now is just de-levering the balance sheet, that’s the focus right now. And once we get down to the levels we’ve been at before, then we will contemplate how we would return capital, if it’s appropriate.
Scott Valentin - FBR Capital Markets: Okay, thanks very much.
Operator: And I’ll take next question from Jason Arnold from RBC Capital Markets.
Jason Arnold - RBC Capital Markets: Hi, just a quick follow up on the last one on the emerging market side. Is there anything that you guys can do, I mean if you see kind of emerging market related currency issues in managing the business to kind of limit your risk exposure, if things were to go more haywire from a currency perspective or how do you think about managing around some of that currency related risk?
Aengus Kelly: I mean there is always risk in our business with airlines, that’s a given. There is a lot of talk about the currencies recently but some of that has already receded. The key feature of running an aircraft leasing business and managing credit is first of all, do you have aircraft that can be rapidly redeployed to performing regions or performing airlines from underperforming ones. That means you have to have modern fuel efficient airplanes which AerCap has. Two, you have to have the appropriate levels of maintenance reserves and security deposits so that when you actually -- if and when you actually have to take an airplane back that the impact is minimum. And again I would redirect you here to our history; we are nowhere near where we were in 2009, 2008 et cetera. And in that environment, our total credit costs ran at less than 100 basis points to lease revenue. And so we are looking at stuff that’s really at the margin here. And we have never ever had material costs from credit.
Jason Arnold - RBC Capital Markets: Okay, super. Thank you. And then just one quick follow-up, I was just wondering if you could update us on the financing end of the equation, specifically any of your various funding sources being more directive right now versus others, and then any kind of opportunity to reduce average borrowing cost still from here to largely kind of more stable on that in any equation?
Keith Helming: Yes, I mean the financing initiatives that we are focused on for the moment is doing an amendment and the extension of the unsecured revolvers of both companies. On a combined basis, they total $2.6 billion and these revolvers are in addition to the AIG revolver. These are important elements of the company’s liquidity. So, we are doing an amendment extend on those facilities that will become effective as of the closing data. And in addition to that we are working on the syndication of the bridge facility and preparing for effectively the take out financing on the acquisition side. So, those are the key financing initiatives we are working on at the moment.
Jason Arnold - RBC Capital Markets: Okay, superb. Well, keep up the great work. Thanks a lot guys.
Aengus Kelly: Thank you.
Operator: And I’ll take the next question from Justine Fischer from Goldman Sachs. Please go ahead.
Justine Fischer - Goldman Sachs: Good morning.
Aengus Kelly: Good morning, Justine.
Keith Helming: Good morning.
Justine Fischer - Goldman Sachs: I have one more follow up question, sorry, on the emerging market issue. So, I think that on the one hand, it’s definitely understandable why you would be -- why you could be concerned about lessees in countries that are facing currency issues. But on the flip side, it seems as though if there were some airlines that for example through they could financing from other sources, we don’t know who has been looking at the international WTC market, but I suspect there are a lot of airlines have been and maybe some of those may not to be able to easily do one, because of the way investors might perceive currency risk. So, that seems to me to create an opportunity for lessors. So, were you saying that you would shy away from those opportunities because of the currency risk; I guess it depends on the airline. But that seems to me to create an interesting opportunity as opposed to the currency situation that we’re looking at making it less an opportunity for lessor.
Aengus Kelly: You don’t make it the currency thing overblown, it impacts a handful of airlines literally, it’s not many at the moment at all, if any, there is nothing that come out of, a lot of headlines in the press, but in reality it hasn’t made much of an impact. And it certainly won’t deter us from leasing airplanes, that’s what we are paid to do and that’s why our investors invest capital is that we have a platform that’s able to rapidly move aircraft around the world to areas of opportunity from once that may not be performing as well as hoped. So no, we’re very comfortable doing that. On the question about international WTCs, I think it’ll be a very small pool of airlines who would tap that, to be frank. So, yes, a lot of noise about it again from some of the investment banks, but I can’t see much actually having there in reality.
Justine Fischer - Goldman Sachs: Okay. And I think that was going to be a follow up of mine that in the discussions that you’re having with airlines when they are talking to you about potential sale leaseback transactions, are you hearing a lot of them listing international WTCs as an alternative for themselves or are not many airlines listing that in your discussions?
Aengus Kelly: None, not a single one.
Justine Fischer - Goldman Sachs: Interesting, okay. And then I had a question on selling additional aircraft from the ILFC portfolio. I know that was something that you listed; there could be a possibility when you first announced the transaction. And I was just wondering; I know that you’re obviously working on integration now, are any potential sales something that we could see, that we would see in the near-term i.e. kind of before the summer as you go into the closing of the transaction perhaps before you meet with the rating agencies in April or is this something that we might see towards the back end of the year once you’ve combined the portfolio and you get a better sense of how you want to structure them? And then on a related note, doesn’t ABS deal for you count as an asset sale, I mean because you’re moving assets off the balance sheet given that we’ve seen a few deals in that market recently?
Aengus Kelly: Well, let me just start. First of all, our sales what I said on the call was that when we announced the transaction, our sales strategy wouldn’t change. Over the last 6 years, AerCap has sold an airplane every five days. That’s what we do in AerCap standalone, that’s what I indicated on the call why would that change won’t. I mean that’s what’s ongoing at the moment. In relation to the ILFC fleet, we couldn’t do anything with that until after closing, so we’ll deal with that afterwards the focus is integration. In terms of an ABS transaction, an ABS transaction is not a source of selling airplanes generally, only if you sell the junior tranche, the e-equity note, or the e-note. In the past, we’ve traditionally held on to that equity note at the start and then later on maybe sold it off if the opportunity is correct, but that’s how we see things.
Justine Fischer - Goldman Sachs: Okay. And then one last question on the large sale leaseback deals that you’ve done, either great deals and certainly when you announced the LATAM deal in mid 2013, it was a huge deal versus aircraft book value at the time. Now that AerCap will be a much larger company with ILFC, I’m certainly not implying that AerCap did those deals for the sake of growth, because again, I think they are good deals and that does not seem to me to be the case. But given that you’ll be a larger company, those would still be meaningful deals by of course somewhat less meaningful given that your book value be much larger. Would you still look for sell and leaseback deals on that scale given that they do concentrate some credit risk et cetera or would AerCap more look to smaller deals and adapt ones because once you’ve acquired ILFC you did the much for your company and you don’t necessarily need to do such huge deals.
Aengus Kelly: Justine, when it comes to acquiring assets, I’ve been very clear, we are not here to make airline to be the biggest, we’re here to make sure we’re the best and we’ve maximized the value of the company for our shareholders. That means we do a particular size transaction, we’ll do it, it means we don’t do them, we won’t do them. And it will depend on the circumstances of the transaction.
Justine Fischer - Goldman Sachs: Okay. Thanks very much.
Operator: And I’ll take our next question from Gary Leibowitz from Wells Fargo. Please go ahead.
Gary Leibowitz - Wells Fargo: Thank you, operator and good morning gentlemen. Gus, you mentioned that you had two one placed aircraft that will be soon placed out of your portfolio, but ILFC had over 100 lease expirations scheduled for 2014 coming into the year, I know a lot of them are going to be potted out. Can you talk about what the placed in requirements are on ILFC side?
Aengus Kelly: We can’t Gary actually, they disclosed their own information they filed publicly, so we cannot give information on that.
Gary Leibowitz - Wells Fargo: Okay. So can you talk maybe generally about sort of the -- is there a collaborative process now during this interim period, because obviously ILFC is still very actively managing their portfolio placing planes, trading planes. How much input do you have into their portfolio of activities at this time?
Aengus Kelly: Gary of course you know it would be very sensitive to the antitrust ruling, so we do not involve ourselves at all in ILFC’s [taking] of aircraft at all.
Gary Leibowitz - Wells Fargo: Okay. Then just a couple of quick ones from me for Keith, Keith you had given sort of standalone guidance back in November, has any of that changed?
Keith Helming: No, the standalone guidance that we gave regarding synergies and fair value accounting and all that is effectively the same. Obviously, we won’t have final numbers until the actual closing date. The purchase accounting, fair value adjustments were all be based on the circumstances as of that particular day like the share price, like the trading value of the ILFC debt plus a few other things as well. So once we have all of that information finalize, we will provide any sort of updates to those numbers, but at this point there isn’t any significant changes.
Gary Leibowitz - Wells Fargo: Okay. Thank you very much.
Aengus Kelly: Thank you, Gary.
Operator: We’ll take the next question from Glenn Engel from Bank of America. Please go ahead.
Glenn Engel - Bank of America: One of your strengths -- good morning, one of your strengths over the years has been, you’ve been more actively managing your portfolios and most turning it over effectively in sales a year. Now that you’ve got ILFC though you are going to keep that same sort of turnover rates, the amount of sales you’d have to do would be magnitude higher. So can you just talk about have you lock the [Middle East] with ILFC being so much larger and what type of portfolio sales that you used to do $500 million the year on average, what type of portfolio sales could we expect to see in the long run once the ILFC deal is done?
Keith Helming: Glenn I mean, again sales are driven by the number of things, will it be credit concentration, will it be our view on the particular aircraft type, will it be opportunity to reinvest in a different assets et cetera. That’s what drives the decision. We have been very active, it’s been 1 billion a year at the average actually what we have done, what we were actually been doing in AerCap is 1 billion a year in sales. We did comfortably a lot more than that in 2012, obviously last year we had we were close to that, we had other focus towards the second half of last year. And certainly 1 billion a year is a doable very doable number now and there is plenty of demand out there if we wanted to increase that. So I don’t see that being any issue at all.
Glenn Engel - Bank of America: So the, again I guess the issue would be that ILFC’s magnitude larger to keep the same sort of turnover of your 1 billion a year, can you really turnover that much more, is that several billion a year in sales, is the market really that flexible to do that?
Keith Helming: We will need to turnover that much into the market. The market is very deep Glenn to be quite frank with you as well. There would be no problem in us doing a lot more if wanted to. There are numerous outlets for aircraft, so that wouldn’t be an issue. We will sell the one we think it’s in the best interest of the shareholders. And so that’s how we look at it. I think we have indicated a billion a year is what needs to be done on ILFC. Please bear in mind that a lot of the aircraft by value in ILFC, the less attractive ones will be minimal on balance sheet going forward day one. So when you say a billion it’s actually in reality on a relative basis probably bigger because of the lower values we will have these assets on the balance sheet at post closing.
Glenn Engel - Bank of America: And finally how is your cost of capital trending?
Keith Helming: The cost of capital on the secured side, at our secured financing has been relatively constant. You saw that the average cost of our debt in 2013 is just under 4%, it’s been at that level now for a while and it has been changing, down on the ILFC side, on the unsecured side, they are in a similar position, their cost of debt has come down in recent years. And again those levels are not really changed from where we were at the end of last year.
Keith Helming: And I think as mentioned by one of the other analysts and what we monitor very carefully in fact on a daily basis, the ILFC spread. The ILFC bonds rally don’t, when they deal is announced ILFC bonds rallied. So, that’s said a lot too.
Glenn Engel - Bank of America: Thanks.
Operator: I’ll take the next question from Ryan Zacharia from JAM. Please go ahead.
Ryan Zacharia - JAM: Hey guys, thanks for the question. I just wanted to circle back to the maintenance contribution. You have previously guided to kind of neutral contribution for the year. In Q4 is it fair to look at the asset impairment including that in there and basically say that there is a $5 million pretax kind of headwind in Q4, because that some of the leasing expenses and asset impairment was $5 million higher than the maintenance.
Keith Helming: That’s correct. I mean actually in 2013 there were two 7% freighters where we incurred impairments of I think approximately $20 million and we had close to $20 million in maintenance payment as well. So, you do need to include the impairment charge in that calculation. And I do want to see the net contribution.
Ryan Zacharia - JAM: So, is it fair to say that there was basically a $5 million pretax headwind in Q4 from the combination of the write downs and the net contribution from maintenance front?
Keith Helming: Yes, that’s correct. Yes.
Ryan Zacharia - JAM: Okay. That was my only question. Thanks.
Operator: And I will take next question from Helane Becker from Cowen and Company. Please go ahead.
Helane Becker - Cowen & Company: Thanks very much operator. Hi guys. Thanks for all the time and the answers. I just have one question on the aircraft impairment charge that you had. So those planes are going to storage or what are you doing with those planes going forward?
Aengus Kelly: Both of those airplanes have been released and delivered already, there are two 747 freighters so they’re both gone already.
Helane Becker - Cowen & Company: I was wondering about that because they’re still in your fleet plan right for going forward?
Aengus Kelly: Yes. Because they’re on lease, they’ve been released already.
Helane Becker - Cowen & Company: Okay….
Aengus Kelly: Both aircrafts by the way and they’ve been released as well.
Helane Becker - Cowen & Company: Okay, great. And then in the first quarter are there any or maybe I don’t want to ask the question or maybe I want to ask it, are there any customers about whom you’re concerned in terms of and are they on your watch list in terms of getting additional aircraft backs that you might not be expecting?
Aengus Kelly: Not really, no, nothing beyond the usual or we don’t see anything unusual on the credit side. As I said the best indicator Helane is that receivables are at an all time low.
Helane Becker - Cowen & Company: Yes. I see that, great. Thank you very much. See you later.
Aengus Kelly: Thank you.
Operator: (Operator Instructions). We’ll now take our next question from Moshe Orenbuch from Credit Suisse. Please go ahead.
Moshe Orenbuch - Credit Suisse: Great thanks. Most of my questions actually have been answered. But just very briefly, I mean that you mentioned that you won’t really have the information until the closing, but obviously the changes in the ILFC debt cost, can you just talk about how to think about the impact of purchase accounting on your go forward results on the ILFC debt?
Aengus Kelly: Yes. There is, actually every quarter ILFC actually doesn’t disclosure, they give the fair value of their debt. We do as well on the AerCap side. So that gives you an indication as to the adjustment that will need to put in far the fair value adjustment on their debt. It will effectively increase the amount of the debt value. And then the difference will be amortized over the remaining life of the debt facilities. So it’s effectively bringing down the cost of some of the ILFC facilities to their current level of borrowing.
Keith Helming: Effective rate mark-to-market, the....
Aengus Kelly: Mark-to-market.
Moshe Orenbuch - Credit Suisse: So we could look at that adjustment and kind of spread it over whatever the remaining life is?
Aengus Kelly: Yes exactly.
Moshe Orenbuch - Credit Suisse: Perfect. Thank you.
Operator: Ladies and gentlemen as there are no further questions in the queue. I would now hand the call back to Mr. Kelly for any additional or remarks.
Aengus Kelly: Thank you operator. And thank you all very much for joining us today on the call. We hope to see as many of you as possible at the New York Palace at 11:30 and failing that we will talk to you in three months time. Thank you.
Operator: That does conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.